Operator: Good day, and thank you for standing by. Welcome to the Partners Group's announcement of AuM as of the 30th of June 2025 Webcast and Conference Call. I would now like to hand the conference over to your first speaker today, Mr. David Layton. Please go ahead, sir.
David Michael Layton: Hello, everyone. Welcome to Partners Group's H1 business update and outlook call. I'm Dave, CEO of Partners Group. And I'm joined today by Roberto, our Head of Portfolio Solutions and our Chief Risk Officer, Joris, our CFO, will join us for the Q&A. Earlier this year, January, February, March, it felt like 2025 had the potential to be a big rebound year for the industry. However, the volatility stemming from tariffs in April stole some of that momentum and the environment during H1 turned out to be a bit more mixed. Global buyout volume is holding steady, maybe up a little from recent periods. IPO activity remains subdued, buyout exit volumes fell year-on-year and global buyout capital raised was down pretty meaningfully from the same period last year, a continuation of what we were experiencing in H2. Distribution levels continue to have room for upside, which could help to spark additional investor commitments in future periods. So for the industry, it's a bit of a mixed bag so far this year. Next slide. I believe our firm has been able to navigate this environment well, and we've again shown that we're built for any cycle. We have one of the most diversified and resilient platforms in the private markets. We raised $12 billion in new commitments during the period. That's up about 10% versus H1 '24, and we reconfirm our fundraising guidance for the year. This has the potential, we think, to be a strong vintage year from a returns perspective, and we invested $9 billion this period. You'll see us ebb and flow with where opportunity presents itself in the investment markets. We also realized $9 billion for our clients. Later on the call, we'll also provide some color on expectations for H1 performance fees. Things are on track there. Roberto will now give us some insight into our fundraising results for the period.
Roberto Cagnati: Thank you, Dave. I'm happy to provide some additional background on the $12 billion of new funds raised. In terms of asset classes we raised, you will notice it is similar to what we raised in 2024 with a stronger tilt toward lower fee-paying asset classes like private credit. Private credit was our strongest asset class, supported by our bespoke mandates and several insurance wins. Private equity was our second largest contributor with flows primarily driven by our evergreen business. This was a combination of both our new launches and existing programs. I'll speak more about that later. Infrastructure and Real Estate were mainly driven by traditional fundraising. Note though that we recently launched two new infrastructure evergreens and are seeing strong flows into those new solutions as well. Our new royalties evergreens, both for institutional and private wealth clients were recently launched and we started seeing flows towards the end of H1. Challenges in the traditional fundraising have largely persisted. In general, this is reflective of a large industry trend where we see clients opting for more tailored solutions. We believe that in the current environment, this trend will be accelerated. Mandates remain a core focus for us as a firm. Our clients agree that mandates make investing easier. We have a very strong mandate pipeline at the moment and expect to share a few more successes with you later in the year. Our evergreens also continued to be a meaningful contributor. I'll speak about in more detail in the later slides. I would like to now deep dive on our mandates in evergreens on the next few slides, and let me start with the mandates first. The strength of these solutions is that we can leverage our full platform or only pockets of it, depending on what individual clients want. Unlike the standard approach of investing in just three or four funds, which limits flexibility, we have the ability to allocate investments line by line individually. Each client has a dedicated portfolio manager focused on meeting their specific investment objectives. This line-by-line approach enable us -- enables us to efficiently build portfolios and adjust asset allocation based on relative value opportunities. Looking at our mandate AuM, direct investments are the foundation accounting for around 60%. However, we can also diversify our clients, giving them exposure to attractive secondary opportunities or primaries if they want mixed manager exposure. This will be more of a one-stop solution for a client's private market needs. Our evergreen clients also benefit from the same portfolio management approach. We have been running evergreens for over 20 years and after navigating through many challenging cycles, we have portfolio management down to a science. If your partners go evergreen clients, your main exposure will be to our direct investments with around 70%. Primaries and secondaries provide an advantage from a portfolio construction point of view complementing. Looking at evergreens flow, I've heard a lot of different commentary and we'll address some of that on the next slide. But I would like to bring some more color to our H1 flows. In H1, our top three programs accounted for roughly 43% of total flows. These same solutions account for 73% of AuM. Our remaining evergreens, including our new launches accounted for 57%. As more programs are coming online, we expect those flows to increase. When you look at performance, you have to consider different audiences. We have the strongest track record in the industry, proven capabilities of managing liquidity through cycles and delivering on our long-term target returns consistently. We have not changed these targets since we first launched our PE 40 X1 in 2009, and we continue to deliver. At the same time, we have managed to limit downside through some of the most adverse market environments for private markets. For sophisticated financial advisers and distribution partners who understand these solutions, this is a key point and outweighs short- term performance that can occur for various reasons. As evidence to this, we have added over 40 distribution partners globally over the last 12 months. We have learned a few lessons over the last 20 years. One of these is the temporary fluctuations in performance a part of navigating cycles. Recently, short-term performance has been below our long-term targets. For some of our large programs as part of the long-term 20-year plus track record with a return of 10% to 12%. They are currently annualizing at 7% to 8% when looking at the last three years, that's 2% to 3% below our long-term returns. This is nothing new. We've been there before. For the end of H1, the three-year rolling a turn of our major private equity evergreens, we estimate to stand at 8.2%. This is already markedly improved from a 5% to 6% level. We saw the low point of this cycle during the second half of 2024. We've seen similar levels being reached before not only in the GFC, but also in 2011 during the European sovereign debt crisis and most recently in early 2020. And they all make part of our successful long-term 10% to 12% track record we have built our evergreen business on. Let me state at the outset that our portfolios are in good shape. Within those books, our direct investments are outperforming the very diversified primary portfolios, which are typically a closer reflection of the broad private equity industry performance. We believe the return potential of those portfolios is fully intact. When we look at the bridge from short-term to long-term performance, there are three elements which explain the differential: slower EBITDA growth, valuation adjustments and lower cash flow due to higher interest rates. The majority of those are related to the weighting of certain less favorable vintage shares in our evergreens. From today's perspective, there's nothing wrong with those vintages, but those were the ones that were fully transitioning from the 0 rate environment to today's world of higher interest rates. If you look at especially the 2019, 2021 vintages, they ended the period with sharp rises in interest rates, limited financing ability and a more challenged macro environments. This resulted in slower EBITDA growth and a one-off headwinds on valuations. Now the good news is that we believe that as an industry, we are largely through those changes. With the pickup in exit activity at valuations above the carrying value being the single most visible piece of evidence, and Dave will update a bit more on that later on. Note that further, over time, those vintage shares represent a smaller share of the overall portfolio from a high point, of roughly 70% back in 2021, we expect the exposure to pre-2022 content approaching roughly 20% -- 25% by the end of this year and to keep decreasing thereafter. On the flip side, by the way, we have seen those vintages seeing to provide upside potential as exits are materializing. Something newer vintages don't usually have. If you turn to the right side, if you look at our newly launched evergreens, which are less exposed to these temporary valuation development and less favorable vintages, we are seeing strong growth, and this is further evidence that the Partners Group investment engine is humming. I wanted to give you this extra disclosure as I know it is a topic on many of your minds. In summary, we think we are not far from getting back in our 10% to 12% target net return ranges for our established evergreens. As a matter of fact, we have been steadily moving towards that range over the last couple of quarters. With that, back to you, Dave.
David Michael Layton: Thanks, Roberto. On to Slide 9. We invested $9 billion in H1. That's essentially in line with the same time period last year, maybe a little above. Our investments were diverse. We focused on capturing relative value for our clients. It's a large global platform. We have a pretty good vantage point within the industry. This relative value approach pivoting year-to-year towards investment areas that are most attractive is one of the benefits that we can offer to our clients. We were reasonably balanced between portfolio investments and direct investments. Direct equity was more impacted by tariff-driven bid-ask spreads, but we remain active in pursuing direct private equity and direct infrastructure targets. We believe that a fair number of our pipeline assets will be in a position to transact in future periods. You have seen part of our pipeline come through in a handful of new investments that were recently announced. We already have $2 billion the new investments signed, which are expected to close in the second half. Next slide. We're excited about these new investments that we've secured for clients. These new investments reflect, in some cases, long-term thematic sourcing. In another cases, our ability to be a bit more opportunistic, which is sometimes needed in a more liquidity-constrained market. We have a strong pipeline, and you'll continue to see additional announcements from us in the near future. Next slide. While 2025 has not been an outstanding environment for exits, we have, in my view, done a good job of generating liquidity for clients where possible. Direct equity accounted for 38% of overall realizations that includes both infrastructure and private equity. And we had another 38% coming from secondaries and primaries. This is a business update call and not a financials call, However, we have noted a wide range of expectations for H1 performance fees. Given the shift in the environment which occurred in April, I suppose that's natural, but we have an attractively diversified platform, solid portfolio and we reconfirm our performance fee guidance of 20% to 30% for the full year. While we don't generally issue half year guidance on performance fees, we are disclosing the H1 performance fees are also expected to be well within the full year range to make up between 20% to 30% of revenues for the half. The Techem transactions received some regulatory notes and needed to be restructured, and so there will be a Techem performance fee reversal in H1. This is fully embedded in the H1 expectations, which I just spoke about. The restructured transaction has already been resigned and is expected to close later this year at which time you'll see those fees being reinstated. Looking ahead, we have a strong pipeline of exitable companies, and we're looking forward to making further progress on this pipeline in the second half. The PCI transaction was just announced yesterday, for example, and that is a strong start for H2. Again, we reconfirm our performance fee guidance of 20% to 30% for 2025 and of 25% to 40% for 2026 and beyond based on our mature and maturing pipeline of assets. The next slide highlights some of our recent exit activity. We've worked for a long time to develop these assets and we're pleased to see them locking in some realized gains for clients. At Green Tea, for example, we've grown the number of our restaurants by 8x. We've helped to professionalize and institutionalize that business. We completed an IPO on the Hong Kong Stock Exchange on May 16. Greenlink, I think we've talked about in the past. It's also important to note that portfolio assets can be helpful generating liquidity during periods where single asset sales are a bit slower. This infrastructure portfolio highlighted here, for example, generated 2.4x multiple. A number of those -- the components of that portfolio have already been divested. Some people use secondaries as an IRR play. For us, it really is about buying into great assets with upside and we have some of the highest realized multiples around as a result of that. We have some additional upside in this space. I expect us to deploy between $1.5 billion and $2 billion in infrastructure secondaries this year. That will be a nice step-up from last year. Roberto?
Roberto Cagnati: Slide 13, please. AuM grew to USD 165.3 billion, considering the factors we guide for a 9% growth. In total, including performance redemptions and FX impact, AuM ended at USD 174.4 billion during the period, up 15%. Let's take a closer look at our H1 AuM bridge. As you are aware, our guidance specifically covers fundraising and tail-downs. We have already covered the $12 billion of gross inflows before. So I will discuss the impacts of tail-downs, redemptions, exchange rates and performance-related effects. Starting with tail-downs, we are largely formula based. They amounted to $3 billion. Our full year guidance is between $9 billion and $10 billion. We expect to pick up in tail-downs during the second half as several of our older funds tailed down, and we see more exits across the platform. This leads us to a net new asset total of $13 billion or a 9% AuM growth, if we consider only the factors we guide for. Moving to redemptions. They came in at $2.8 billion. This corresponds to redemption rate of about 5.7% of average evergreen AuM. Moving forward, we continue to believe 8% to 10%, corresponding to average holding periods of about 8 to 10 years is a reasonable long-term run rate for these programs as they are expected to get larger, both in terms of size and investor base over time. This year, we would expect to be around 10% to 11% due to the temporary increase in redemptions given the Liberation Day events. Performance-related effects amount to $2.3 billion. They include contributions from a select groups of products where AuM tracks their NAV developments. We continue to believe that redemptions from evergreen programs are often netted out by performance effect in a normalized environment. We see performance increasing across our evergreen offering, as I mentioned earlier, expect performance to begin normalizing in the second half. Last, but not least, foreign exchange effects had a positive impact of EUR 9.6 billion, mainly due to the strengthening of the euro against the dollar. As a reminder, 48% of our AuM is in euro-denominated programs and mandates.
David Michael Layton: Next slide. As the industry continues to move through this next cycle, structural growth will come from places like wealth, DC, insurance in select categories of institutional investors. Private wealth adoption is still in the early innings, allocations remain low. U.S. defined contribution assets are projected to reach $12 trillion by 2028, near 0% allocation to private markets today. Finally, we see some traction with early movers like Empower. Insurance allocations in private markets continue to increase. As Roberto mentioned, we had a few wins here in H1. We will continue to see public and private markets blending together in order to build more comprehensive solutions. It's embedded in our name, but we are a firm that knows how to combine forces to create win-win partnerships. I think we've been very thoughtful and early around many of these topics, and we're well positioned to access growth from these channels. We have a lot of option value embedded within the dozens of initiatives that we have running within these investor segments. Finally, I'd like to wrap up by reconfirming our full year guidance of expected new assets in the range of USD 26 billion to USD 31 billion with USD 22 billion to USD 27 billion in new client demand and USD 9 billion to USD 10 billion in tail-downs. The pipeline is global, that's reasonably broad. This is not the easiest environment, but I think we're navigating it well. And with that, I'd like to thank you for joining us for today's business update and I'll hand over to the operator to open the floor for Q&A.
Operator: [Operator Instructions] We will first take the phone questions. And then if we have received any via the webcast, we will move over to the webcast questions. We will now go to the first phone question. One moment, please. And your first phone question comes from the line of Nicholas Herman from Citi.
Nicholas Herman: Thank you for the presentation and for the new disclosure. It's very helpful. I have three questions, please. I take a big picture one first. I guess on wealth, it seems like the democratization of alternatives has accelerated in the first half of this year. We've seen developments in both the DC and advisor-- DC channel and advisor platforms. The Empower partnership clearly highlights that you guys are in well positioned in the DC channel. On the well side, it seems a bit more competitive. I guess in that context, can you give us an update on the development and outlook for your joint offering with BlackRock, please? Second question on evergreens. You said that you -- sorry, I guess, sorry, -- it was really helpful to get the scale strategy returns back to 10% to 12%. But I guess the other thing that, that Slide 8 shows suggests to me is the return benefit or tailwind that scaling strategies have -- so I guess with so many of your peers in that scaling phase and appearing to get the benefits of that. Does the -- and getting back to 10% to 12% returns is helpful and is a proof point for you, but I guess from a demand perspective, but do you think it matters in terms of attracting new money? And then finally, on your inflows -- can I just understand, is there a tailwind from FX on your inflows? And so does also in that part in that kind of context does reiterating the guidance for the full year. Does that kind of on a like-for-like basis, does that -- is there any kind of change in terms of your guidance? Or yes, that would be helpful to understand.
Roberto Cagnati: This is Roberto. First of all, may be going one by one. I agree with you on the defined contribution side and the pickup we're seeing there. On the wealth side, I do think you have a point there. The market has gotten more competitive, and we have been seeing new entrants taking market share. So from that point of view, naturally, when new monies are located into private wells today, there is a split, and it doesn't go 100% to Partners Group anymore like it used to a few years ago. I think on the other hand, you can also see some of that rebalancing is happening across asset classes, something we see especially on the newer program as a substantial tailwind we have seen there with the start of the new launches started in late 2023. With regards to BlackRock, we're well positioned. We're working on it. It is a first of a kind in terms of offering. So we continue to expect this to become ready for client inflows early next year. On the evergreens, I outlined a bit the dynamics of the performance before. I do think there is a certain short-term influence of performance to the flows. On the other hand, I think the other dynamics, just the market becoming broader, the shelves becoming broader is probably the more meaningful impact. But yes, I do think as we move back into the target return and some of the older vintages gaining relative attractiveness, this will, at the margin, improve the relative dynamics.
Unidentified Company Representative: And on your question regarding the tailwinds from FX, what we guide on AuM is, as you have seen on Page 13, is the guided metrics are, of course, neutral on FX. So it's a USD 1 billion guidance just on the guided metrics. So no direct impact there.
Operator: And the next question comes from the line of Oliver Carruthers from Goldman Sachs.
Oliver Carruthers: Oliver Carruthers from Goldman Sachs. I've got three. Circling back on the larger evergreen programs, it seems like you think there is this, I guess, pro-cyclical link between performance recency and net flows. I would be interested, given your expertise and experience in this area, what do you think the kind of time delta is between kind of performance getting better and flows improving in these larger, more mature products -- and then particularly given your comments on -- I got a broader shelf of products from competitors out there, do you think there's any scope for the distributors to behave differently on this and I'm just trying to get my head and the mindset of a distributor selling these products. So that's the first question. The second question is, if I look at the 1H fundraising, I guess, a decent component in private credit, almost half or just under half. And I think you're calling out insurance mandates. What should we be modeling for the recurring management fee margin? I think you did 114 basis points last year. And then the final question, it looks like the mandate fundraising is accelerating. And again, you're calling out insurance mandates. So what's driving this here? Any color here would be very, very helpful.
Roberto Cagnati: This is Roberto. I'm happy to take your first question. I do think what we're seeing is a bit of like new offerings, new game in town that have created a certain dynamic probably for quite a couple of quarters now. I do think we're -- the flows are mainly tied to the older vintages having gone through the adjustments of performance picking up. I'm not sure whether there is a correlation between flows and size. I don't think we have seen that. I think it's rather a function of when we have invested those funds over time. So purely a vintage year type of factor.
Unidentified Company Representative: Now Oliver, with regards to the management fee margin development, we see several factors currently impacting the management fee margin. So from a product mix perspective, as you rightly pointed out, we have a higher share of credit, which is below average in the fee margin and equity being on the right side in half year one. On the other side, we also have now the revenues from Empira coming in, which is our real estate acquisition, which is also nicely developing and where we also see solid margins. In fact, this means not a lot of upsides from the current product mix. We might even see a neutral or slight 1 to 2 bps negative margin impact. Additionally, we will also have, of course, a translation impact from FX, which we're currently running through and present to you with our half year report in September.
Roberto Cagnati: And maybe on the last question with regards to the mandate. I do indeed think that the way how the market develops and considering who is investing into private markets today, mandates are in high demand, think about insurances that have demand for certain speed on building up portfolios, rotating portfolios, being fully invested rather soon. Think about investors across different jurisdictions that focus on regional restrictions in today's world that is getting a bit more fragmented compared to just a few years ago. Maybe last, but not least, think about some segments of the market that are new private market investors, part of it can be defined contribution related where, from a regulatory restriction perspective, the traditional closed-ended fund formats with like a 4-year investment period or simply, simply not suitable. So as some of those pockets have been opening up further and driving a bigger share of the overall demand, as a result, mandates become a bigger part of the mix.
Operator: We will now take the next question, just before the next question. [Operator Instructions] And your next question comes from the line of Hubert Lam from Bank of America.
Hubert Lam: I've got three of them. Firstly, in terms of fundraising, you've had a good $12 billion for the start of the year. How should we think about it for the full year? Should we expect it to be in the middle of the range now if you analyze the first half, just given that you've done more exits recently, so there should be more distributions. Just wondering if the fundraising could be better in the second half than the first half, first question. The second question is just, Dave, just wondering what your view is in terms of activity as we head into the second half of the year, both in terms of exits investments. You recently announced some exits. I'm just wondering if this is probably good momentum heading into the second half. So -- and the final question is on the M&A outlook. At CMD, you talked about possibly doing more deals. You've done one with Empira, just wondering how you see the opportunities today. Or is just with the M&A environment generally on your side is.
David Michael Layton: Thanks, Hubert. So with regards to H1 and how does that carry over into H2? I think we had a lot of discussions running early on, on more equity-focused fundraising, for example. And some of that did get delayed because of some of the volatility that came into the market. So I think there is a potential for much of that to come through in the second half of the year, depending on how things develop, let's see. I think we're on a reasonable trajectory right now. I probably wouldn't assume it slows down or speeds up at the current point in time until you get some more evidence of that, I would think the first half results annualizes probably a pretty safe assumption to make with regards to the full year at the current point in time. Indeed, you do start to see some larger exit events happening, right? It's been an okay market environment, but notably absent, has been the exit of some of these larger positions. And with the announcement of PCI yesterday, $10 billion transaction, I do think that, that potentially is a sign of hopefully more of those type of things to come. I think PCI is a fantastic case study for private equity, really, right? When we bought into that business in 2016, it was about $1 billion enterprise. We brought large cap resources to a middle-market company, Franz Humer who's a friend of the firm, been an investor with us individually for a long time, CEO and Chairman of Roche, became the Chairman of PCI and you've seen that business develop from a $1 billion enterprise to a $10 billion enterprise over the course of the decade. And many of those type of middle-market companies are exactly the types of businesses that people are looking to get exposure to with their private market allocations. And there's many more of those type of businesses that exist within our portfolio, but I do think as soon as you get a little bit of a reasonable window here, you could see indeed an acceleration of exit activity. I don't think we're counting on it, but I think it's certainly possible. With regards to M&A outlook, I think some of the same things that have slowed down the broader M&A markets probably slowed down the M&A discussion specific to Partners Group as the markets bounce around a little bit from a volatility perspective that can play into it. It is crystal clear to us that this consolidation that we've been talking about within the industry is indeed going to play out. But I can't give you a specific time frame on when to expect the next announcement. I can tell you, we're very pleased with the Empira acquisition and really feel like we've gotten a gem with that. And indeed probably feel a little bit emboldened about doing the next one as a result of that. But yes, nothing specific to talk about there.
Operator: Your next question comes from the line of Charles Bendit from Rothschild & Co, Redburn.
Charles John Douglas Bendit: Just one more follow-up on the fundraising guidance, please. So the euro appreciation versus the dollar was a very significant AuM tailwind in the period. So just reading that across the full year fundraising guidance range of 22% to 27%, shouldn't we expect a similar tailwind to fundraising, meaning that you should end up in the top half of the range all else equal? Or have you become a little bit more cautious around the midpoint if the guidance still stands in U.S. dollar terms? And then second question was just around BlackRock. So you said we could expect inflows perhaps from early next year. Just wondering how much momentum we might expect to see over a short period of time or whether you're expecting this to be a relatively slower burn inflow over a number of quarters and years.
David Michael Layton: So we don't really manage our business for currency. And so any of the business plans, projections that we talk about are usually currency neutralized. If you look at the fundraising results that we talked about that $12 billion. You'll note that we show the impacts from currency on a separate line even. And so when we talk about annualizing the full year guidance as being potentially a good -- annualizing the H1 results for full year. That's probably a good way. We're not really taking much currency into effect as a result of that. With regards to the BlackRock partnership and the potential ramp rate, look, I think it's just like any new product, it always is that we start with relatively low expectations right with regards to flows because any new product and specifically one that so I think, special and different and unique. We'll probably take a little bit of time for that adoption to build. To be honest, it's really hard to project out. And so we're starting with a relatively low expectation for contributions in 2026, and we'll see how it plays out. But I don't have any specific guidance to give you on that.
Operator: Your next question comes from the line of Angeliki Bairaktari from JPMorgan.
Angeliki Bairaktari: Just a few from my end as well, please. First of all, thank you for giving us the split of the evergreen fundraising into sort of the older legacy programs and the new programs. We've seen that 57% coming from those new programs. Can you let us know if it's just one or two larger newer funds that are driving the flows there, the subscriptions? Or is it pretty well spread out across sort of five or six new products that you have launched this year? Second question, -- is -- are we seeing any impact from the recent partners that you announced with Generali and Lincoln, already in the H1 fundraising numbers? Or is it too soon and for those to come through? And if you can give us also some color on your expectations, whether those are expected to be sizable or they're quite small in isolation? And then a last question on BlackRock. We saw that BlackRock actually launched an initiative on 401(k) plans earlier this month in the U.S. could that benefit Partners Group at all? Or is it purely a BlackRock initiative, which is completely separate from the work that you're doing together on the model portfolios.
Roberto Cagnati: Thank you, Angeliki. This is Roberto. On your first question on the new funds, it's actually been a contribution by a number of funds. I think out of memory six out of seven have started to produce inflows now. So that's a spread one with no single one dominating, they came live during different points of H1 in terms of eligibility and distribution efforts actually kicking in sort of different in size, but broad one. With regards to your question on Lincoln and Generali, I would characterize it. While I can't give you individual amounts. I would characterize it as a rather small impact in H1, which we expect to increase for the second half. And I'll defer the BlackRock question to Dave.
David Michael Layton: Yes. Both we and BlackRock, I'm sure we'll have a number of initiatives that are independent of the partnership that we have on model portfolios and I think both firms are targeting in addition to what we're doing on the wealth side, the opportunity within 401(k) for a reason because this is the next wave. Wealth is kind of the big topic today. But 401(k) is what is on the horizon. And we've been in the 401(k) space for 10 years now, providing DC solutions in Australia and the U.K. And I'm really pleased to finally see the U.S. starting to come online. Empower, for example, the second largest 401(k) plan provider in the U.S. And I think the fact that they made that step to add private markets to their platform is a big step forward. If you look at the people who are around this topic. I think you're much more likely to see the BlackRocks, the Franklin Templeton, the Goldmans, the Neuberger Berman competing with us, for example, for that type of business than you are to see the traditional private market firms that you might be used to seeing in that space. And it's because the portfolio management side of things is so important if you see kind of the criteria that's important to these firms in terms of setting that up. And I think we're well set up with to cater to the needs of the DC space with weekly and daily liquidity options available and the fact that we've been a provider already there for 10 years in other geographies, I think is a big leg out there. So I think in 401(k), you'll see a lot of different initiatives going on, not necessarily linked to what we're doing on the wealth side.
Operator: Your next question comes from the line of Arnaud Giblat from BNP Paribas Exane.
Arnaud Maurice Andre Giblat: I've got a couple of questions left. I mean, obviously, there's been quite a lot of investment from your peers in terms of distribution capacity in the U.S. with some hundreds of people being taken up there. I'm just wondering if -- how you're envisaging your distribution force there? Is there an intention still to beef up capacity there? And what does the competition for talent look like? I hear that it is quite intense and costly. So I was just wondering if you could comment a bit about that. And secondly, could you talk a bit more about the future potential pipeline for U.S. evergreen products or global evergreen products. I mean, what is out there in terms of new launches that you still haven't done where you see great potential.
David Michael Layton: With regards to competition for talent, it is the battleground at the moment within the industry. And so as you would expect, the competition for talent is fierce. We are investing heavily into our distribution capabilities within the U.S. market, in particular. We just made an announcement a couple of weeks ago with regards to a number of new senior individuals that we've added to become a part of our effort there. And out of the 100 or so positions that we have across the firm right now, a good chunk of those are focused on the wealth opportunity in the U.S. And I don't see that dynamic changing, at least not in the near term, given how early we are in the adoption curve and how many firms are trying to jog you for a position there. Roberto, do you want to talk a little bit about new product launches? I mean we've obviously launched quite a few in the recent past.
Roberto Cagnati: Look, I think we are well positioned with the launches that we did in the recent past. We do consider adding to our product line selectively, think strategic opportunities, less thematic, but kind of benefiting a bit more from the volatile market environment. We -- we are in -- we're thinking about some income-oriented solutions as well as some regionally focused evergreen funds covering private equity. That's like some loose ideas, but they're all early stage.
Arnaud Maurice Andre Giblat: If I could just also follow up quickly on the 401(k) opportunity. I mean, how fast do you see this channel opening up in the U.S.? I suppose the adoption is probably going to happen faster with the RIAs and then move slowly towards the larger plans, but what sort of time line would you envisage this developing over?
David Michael Layton: Yes, it's a little tough to tell. We've been -- we've been doing the missionary work on this topic for a long period of time during the first Trump administration. We were influential in getting the Department of Labor to issue a letter in support of 401(k) programs adopting private markets. We thought at that time already, momentum would start to build behind it. But there were some other factors, including the Biden administration, putting a bunch of qualifiers around that letter that iced some of the developments that are happening there, it does feel different now. And I think some government support could be useful in helping to accelerate it and to pull back some of the qualifiers that were put around that Department of Labor statement previously. We think that, that would be helpful in helping to drive the adoption. But it is early days. Again, Empower is a early mover here. And even within that adoption within their network. There's a lot that's dependent on individual companies and individual elections. And we'll all have to see how it plays out over the next year or two, but it does feel like we're finally starting to build some momentum. It's no different within wealth. We were early within wealth as well. And it took a solid decade, right, for us to go from doing missionary work to the point where we're seeing material flows, like we are today. And I think it will probably be a similar time frame to be honest.
Operator: Thank you. I will now hand back to the speakers for closing remarks.
David Michael Layton: Thank you very much for your interest and for your participation in this call. We look forward to our next update call, which will happen in September. Thank you very much.
Operator: Thank you. This concludes today's conference call, and thank you for participating. You may now disconnect.